Operator: Good afternoon. My name is Ian and I’ll be your conference facilitator today. At this time, I would like to welcome everyone to the Adobe Systems Q1 and Fiscal Year 2006 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question and answer session. If you would like to ask a question during this time simply press “*�?then the no “1�? on your telephone keypad. If you would like to withdraw your question, press the “#�? key Thank you. I would now like to pass the call to Mr. Mike Savage, Vice President of Investor Relations at Adobe Systems. Please go ahead sir.
Mike Savage, Vice President, Investor Relations: Good afternoon and thank you for joining us today. Joining me on the call are Bruce Chizen, our CEO; Shantanu Narayen, President and COO; and Murray Demo, Executive Vice President and CFO. On the call today, we will discuss Adobe’s first quarter fiscal 2006 financial results. By now you should have a copy of our earnings press release, which crossed the wire a few minutes ago. In addition, we’ll be issuing the revised press release in the next few hours, in order to change the presentation of amortization and deferred compensation on our income statement. There is no change to operating income, net income or earnings per share. It is only a change in the presentation of the income statement. If you need a copy of this press release, you can go to adobe.com under the company and press links to find an electronic copy. Before we get started, I want to emphasize that some of the information discussed in this call, particularly our revenue in operating targets and our forward-looking product plans to state that information as of today, March 22, 2006, and contains forward-looking statements that involves risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review Adobe’s SEC filings including our annual report on Form 10-K for fiscal 2005 and our quarterly reports on Form 10-Q in fiscal 2006. During this call, we will discuss non-GAAP financial measures. The GAAP financial measures that correspond to non-GAAP financial measures as well as the reconciliation between the two are set forth in the press release issue today and are available on our website. Participants are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. An archive of the call will be made available in brief on Adobe’s Investor Relations website for approximately 45 days and is the property of Adobe Systems. The audio and archives may not be rerecorded or otherwise reproduced or distributed without prior written permission from Adobe Systems. I would now like to turn the call over to Bruce.
Want to understand the future of human resources software?:
Cornerstone OnDemand is the leading provider of SaaS solutions for integrated talent management, covering the human capital life cycle from hire to retire. :
We offer over 30,000 online training titles and performance tools for compliance and analytics to help companies maximize workforce productivity and achieve organizational excellence. :
Learn about talent management and our industry leading products for learning management, corporate social networking, onboarding, compensation, compliance, employee performance management and succession planning at CornerstoneOndemand.com.:
To sponsor a Seeking Alpha transcript click here.:
Bruce Chizen, Chief Executive Officer at Adobe Systems: Thanks Mike, and good afternoon. I’m pleased to announce that our business continues to perform well. Today, we reported record revenue near the high end of the range we provided in December and earnings per share which exceeded our target ranges. In Q1, revenue was $655.5 million representing 39% year-over-year growth and reflects the addition of the Macromedia business. Even without the addition of the Macromedia business, we estimate Adobe’s business will have delivered double digit year-over-year growth, driving our business performance this quarter with strong demand for our Creative solutions and our Acrobat product line. In addition to our strong financial results, the integration of Macromedia is going well. It’s also exciting to see that our engagement platform strategy is resonating with customers, partners, and developers. We’re beginning to deliver the most engaging experiences across media and devices. I’ll now turn the call over to Murray to provide a review of the financials. Later, Shantanu will provide more detail about our performance in each of our key businesses. Murray…
Murray Demo, Executive Vice President and Chief Financial Officer : Thanks Bruce. Before I review our Q1 financial results, I would like to point out that we are not providing combined prior-period Adobe and Macromedia results. As we have previously stated, Adobe and Macromedia reported their results on different fiscal quarters, which limits our ability to provide accurate comparisons. Therefore today, we will compare our Q1 fiscal 2006 combined company financial results -- the pre-acquisition Adobe only results. In addition, we also have the challenge of meaningfully comparing our fiscal 2006 results versus our fiscal 2005 results due to acquisition accounting and the implementation of stock-based compensation under FAS 123R. I will comment on these 2006 charges later in my compared remarks. For the first quarter of fiscal 2006, Adobe achieved revenue of $655.5 million, which compares to $472.9 million reported for the first quarter of Fiscal 2005 and $510.4 million reported last quarter. GAAP net income for the first quarter of fiscal 2006 was $105.1 million compared to $151.9 million reported in the first quarter of fiscal 2005 and $156.3 million last quarter. Non-GAAP net income was $197.5 million compared to $133.8 million reported in the first quarter of fiscal 2005 and $151.5 million last quarter. Non-GAAP excludes, as applicable, Macromedia acquisition cost -- the structuring charges related to the Macromedia acquisition, a charge for incomplete technology related to a small acquisition, stock-based compensation, the net tax impact of the repatriation of certain foreign earnings, and tax differences through the timing and deductibility of the Macromedia acquisition cost and related changes and stock-based compensations, and investment gains and losses. GAAP earnings per share for the first quarter of fiscal 2006 were $0.17 based on 621.8 weighted average shares. This compares with GAAP earnings per share of $0.30 reported in the first quarter of fiscal 2005 based on 506.2 million weighted average shares, and GAAP earnings per share of $0.31 reported last quarter based on 508.6 million weighted average shares. Non-GAAP earnings per share for the first quarter of fiscal 2006 were $0.32. GAAP gross margin for the quarter was 88.1% compared to 94.3% in the first quarter of fiscal 2005 and 94% last quarter. Non-GAAP gross margin, which excludes the amortization of Macromedia acquisition-related cost, was 93.8%. GAAP operating expenses for the first quarter of fiscal 2006 were $447.8 million. Non-GAAP operating expenses, which exclude Macromedia acquisition cost, the structuring charges related to the Macromedia acquisition, the charge for incomplete technology related to a small acquisition, and stock-based compensation, were $362.4 million. Regular employees at the end of the first quarter totaled 5480 versus 4285 at the end of fourth quarter of fiscal 2005. GAAP and non-GAAP expenses at the percent of revenue breakdown is follows: Research and Development - GAAP 21%, non-GAAP 17.3%; sales and marketing - GAAP 32.6%, non-GAAP 30%; G&A - GAAP 9.2%, non-GAAP 8%. GAAP operating income in the first quarter of fiscal 2006 was $130 million or 19.8% of revenues. This compares to GAAP operating income of $170.7 million or 36.1% of revenue in the first quarter of fiscal 2005 and $191.9 million or 37.6% of revenue last quarter. Non-GAAP operating income in the first Quarter of fiscal 2006 was $252.4 million or 38.5% of revenue. This compares to non-GAAP operating income of $170.7 million or 36.1% of revenue in the first quarter of fiscal 2005 and $191.9 million or 37.6% of revenue last quarter. Other incomes in the first quarter of fiscal 2006 were $15.5 million. Adobe’s GAAP effective tax rate for the first quarter of fiscal 2006 was 27.2% and Adobe’s non-GAAP effective tax rate was 26.3%. The difference between the two rates is related to the timing and deductibility of the Macromedia acquisition cost and related charges and stock-based compensation. Our original tax rate target for the quarter was 25%, which assumes the R&D tax credit will be retroactively extended by Congress. I will now discuss Adobe’s revenue by business segment. As was communicated previously, we are reporting our results in five new business segments in fiscal 2006. Creative Solutions segment revenue was $379.6 million. We experienced solid demand for our Creative Suites and new Bundles. Also, the video product launch is off to a good start. Knowledge workers’ segment revenue was $168.8 million. Quarterly Acrobat results were the second best in company history and we experienced solid demand with Breeze. Enterprise and Developer segment revenue was $45 million. It was a record quarter for LiveCycle, up 45% from the year ago quarter. Mobile and Device segment revenue was $8.6 million. While we continue to experience strong demand for our technologies, overall revenue was down from pre-acquisition levels due to lost revenue from acquisition accounting, consistent with our previous comments. Other segment revenue was $53.5 million. PostScript revenue was essentially flat year over year, consistent with our expectations. Turning to our geographic segments, the results in Q1 fiscal 2006 on a percent of revenue basis was as follows: The Americas 48%, Europe 32%, Asia 20%. Overall we experienced solid demand in all of our major geographies. Our trade DSO in the first quarter of fiscal 2006 was 39 days. This compares to 27 days in Q1 fiscal 2005 and 31 days last quarter. In regard to our global channel inventory position, we ended the quarter within company policy, but at a level higher than the previous quarter. The change in inventory level was due to high distribution sell through in November in advance of some distributor margin decreases, and higher selling to distribution in February to meet strong seasonal demand. At the end of the first quarter of fiscal 2006, cash and short-term investments were $2.1 billion compared to $1.7 billion at the end of the fourth quarter of fiscal 2005. In regard to share buyback, during the quarter we repurchased 9.6 million shares at a cost of $355 million as part of our share repurchase programs. Now that we’ve essentially completed our purchase accounting activities related to the acquisition of Macromedia, I would like to update our various purchase accounting targets. We now expect a loss of approximately $60 million in fiscal 2006 revenue due to purchase accounting, an increase of $10 million over our previous estimate of $50 million. The increase in lost revenue is due to our inability to recognize as much revenue from Macromedia’s deferred revenue balance as we had previously estimated. For fiscal 2006, we also are refining other approximate purchase accounting targets as follows: Amortization of purchase technology for fiscal year 2006 is estimated to be $136 million. Our prior target range was $140-150 million. In Q1 fiscal 2006, the amortization of purchase technology was $34 million. Amortization of purchase intangibles for fiscal year 2006 is estimated to be $68 million. Our prior target range was $50-55 million. In Q1 fiscal 2006, the amortization of purchase intangibles was $17.1 million. Amortization of deferred compensation for fiscal year 2006 is estimated to be $64 million. Our prior target range was $55-60 million. In Q1 fiscal 2006, the deferred compensation expense was $23.5 million. In Q1 we also incurred a restructuring charge related to the Macromedia acquisition of $19 million and a charge of approximately $5.8 million for incomplete technology related to a small acquisition. In addition to the acquisition-related charges, we reported our first quarter of stock-based compensation under FAS 123R. With the changes in forfeitures related to the reduction in force and other estimates, we are reducing our target range for fiscal year 2006 from $0.15-0.17 per share to $0.12-0.14 per share. Line item detail for our Q1 fiscal 2006 FAS 123R expense charge of $23 million can be found on our GAAP to non-GAAP reconciliation in our press release. This concludes my discussion on first quarter fiscal 2006 results. Now, I would like to discuss our Q2 fiscal 2006 targets. We are targeting a Q2 revenue range of approximately $640-670 million. In addition, we are targeting our Q2 GAAP operating margin of 22-24%. On a non-GAAP basis, which excludes acquisition-related cost and stock-based compensation, we are targeting an operating margin range of 37-38%. We are targeting our second quarter share count to be approximately $620-622 million shares. For other income, we are targeting $15-16 million, and for our GAAP effective tax rate we are targeting 27% and for our non-GAAP effective tax rate we are targeting 26%. These targets lead to a GAAP earnings per share target range in Q2 fiscal 2006 of $0.18-0.21 per share, and our non-GAAP earning per share target range of $0.30-0.32. For the full year, we also are reaffirming today our fiscal 2006 revenue targets of approximately $2.7 billion. In addition, we continue to expect the third quarter of fiscal 2006 to be the lowest revenue quarter of the year due to typical summer weakness in Europe and Japan. Also, we are expecting the fourth quarter to be the highest revenue quarter of the year, primarily due to the launch of the next major version of the Acrobat family of products. This concludes my comments. I will now turn the call over to Shantanu.
Shantanu Narayen, President and Chief Operating Officer: Thanks Murray. Q1 was a productive quarter. We started executing as a combined company with Macromedia and launched our vision for the future around the Adobe Engagement Platform. As we highlighted at our analyst meeting in January, our strategy is establish the Adobe Engagement Platform as the cross-media, cross-device standard for delivering engaging digital experiences. Based on our new reporting segments, I’ll take the next few minutes reviewing highlights in each of our major businesses starting first with Creative Solutions. The charter of our Creative Solutions’ business unit is to deliver a complete professional line of integrated tools for a full range of creative and development tasks to an extended set of customers. In Q1, factoring in the new bundles, we achieved record revenue for our suites as the product line continues the momentum we achieved in 2005. In addition our design, web, and video bundles, which combine Creative Suite 2 or the new Production Studio along with Studio 8 or Flash Professional 8 have been well received by customers with the Web Bundle showing particular strength. The Premium version of the Creative Suite continues to be the largest revenue generator in this segment. In addition, our momentum with InDesign continued. It was the best revenue quarter since we launched the product more than six years ago. Creative Suite 2 and Studio 8 also continue to receive positive accolades in the press -- Macworld gave CS2 an Editor’s choice award. Electronic Publishing named CS2 in its listing of 2005 hot products and PC Magazine recognized both CS2 and Studio 8 as breakthrough products of 2005. Key customer adoption of both the Creative Suite and Studio 8 helped drive our success. Lonely Planet Publications, among the world’s most successful travel media companies with more than 500 book titles, has adopted the Creative Suite including InDesign to publish guidebooks, activity guides, phase books, and other travel materials that are distributed globally. In addition, Harris Publications, Oracle, and Zion have utilized Studio 8 to create new web-based educational tools to design high-response online marketing programs and increase branded options. We continue to grow our partner ecosystem around our Creative platform. Recently, Logitech announced the new-look Professional Series, a hardware device and software interface, designed for use with Creative Suite 2 as well as the CS2 versions of Illustrator, InDesign, and Photoshop. Turning to our digital video solutions, we continue to believe we are in a unique position to drive video usage on the web through a combination of our video products and the Flash player. In Q1, we announced and shipped Adobe Production Studio, which combines new versions of our world class video and graphics applications -- After Effect, Premier Pro, Audition, Encore, and the latest versions of Photoshop and Illustrator with time-saving innovations such as Adobe Dynamic Link that deliver a highly efficient workflow experience. Production Studio also integrates Flash video export capabilities to provide video professionals with a new fluid method of delivering content to the web. Based on the strength of this upgrade, we achieved record quarterly revenue in Q1 in our digital video business spanning our professional and hobbyist product lines. In addition to Flash Media Server, our solution for seaming content over the web via the Flash File Format continues to see strong adoption. First reaction to Production Studio has been outstanding. PC World said “Every component of Production Studio is extremely useful and highly complementary,�? adding that it makes “Working with multimedia far more efficient than it used to be.�? And PC Magazine gave it a PC Magazine’s Editor’s choice award. In our professional digital imaging business, full units of Photoshop grew 33% year over year when factoring units shipped with the Creative Suites the new bundles and Production Studio. We also introduced a public data of Adobe Lightroom, an all new digital imaging solution, for professional photographers that delivers a complete photography workflow. More than 100,000 copies of Lightroom data have already been downloaded to date and more than 2800 photographers are actively participating in online discussions about the product. Lightroom received the “Best of Show�? award at Apple’s Macworld Conference in January. In summary, our creative business continues to add momentum. Looking forward, we are excited to have John Loiacono join us next month as the new Creative Solutions business leader. He and the team will be working hard on the next release of the Creative Suite tree family of products which we continue to target for a spring 2007 release. Turning to our knowledge worker business, our strategy is to provide essential applications and services to help knowledge workers collaborate with confidence, with particular focus on building our vertical solutions for specific targeted markets such as engineering. In Q1, we continue to see strength with our Acrobat business. Revenue for the Acrobat family of products in the quarter were second only to Q1 ’05 when we launched Acrobat in all major languages. In addition, the ratio of Acrobat Professional and Acrobat 3D combined, through Acrobat standards, remained at approximately one-is-to-one (1:1) demonstrating demand for features beyond PDF creation. Acrobat 3D began shipping in late January helping to extend document-based 3D design collaboration capabilities to virtually anyone in the design-supply chains. AEC Bytes, a publication serving the architecture, engineering, and construction industry, said of Acrobat 3D “The ability to capture 3D model information from an open application right from the screen and convert it to PDF on the fly is a very powerful one and constitutes a critical breakthrough for Acrobat and PDF. It will continue to maintain PDF’s current stature as one of the most ubiquitous and compelling options for electronic publishing in the AEC industry.�? Breeze, our rich web communication and conferencing solution that leverages the ubiquitous Flash player, continues to be an exciting opportunity. Breeze is being used to enable online meetings, provide self-based training material on the web, and to create on-demand presentations. While still a nascent business, Breeze achieved record revenue in Q1. In our Enterprise and Developer Solutions business, our strategy is to create market-leading enterprise interaction solutions that automate people centric business processes and provide great user experiences. In Q1, our success in this business continued. With LifeCycle we achieved approximately 45% year over year growth resulting in a record quarter. The number of transactions with software licensing revenue greater than $50,000 for all of our server products including LifeCycle, Flex, ColdFusion, Breeze, and Flash Com media server was 113. LifeCycle highlights in Q1 included customer wins such as the Dutch Chamber of Commerce, which will implement an Adobe document solution for the complex process of confirming notary data and registering new companies. The Italian Social Security Agency, which is using an Adobe LifeCycle solution to reduce paperwork, increased the accuracy of information and improved customer satisfaction by providing electronic forms via the web. And the Belgian Social Security Organization, which is utilizing an Adobe E-form solution comprising of Reader Extension Server, Form Server, and 2D bar-coded forms to creat an improved user experience with improved data quality. We continue to also build out our ecosystem around the LifeCycle business. For example, in Italy the National Center of Information Technologies and Public Administration recognized Adobe PDF as a valid digital signature format giving Adobe an opportunity to deliver solutions that will help Italian citizens, businesses, and government to improve constituent interactions. In Germany, IBM announced it is working with Adobe to develop an Enterprise Rights Management solution utilizing our technologies to help companies protect their digital data from product theft. And we continue to work closely with SAP, which is resulting in increased adoption of the Adobe and SAP Interactive Form solution based on NetWeaver. While it’s still early, customer wins in Q1 were greater than all the previous quarters combined. Finally, with LifeCycle, we broadened our security solutions with the acquisition of the Fine Line Digital Rights management division of Navisware. The acquisition enables us to provide new capabilities for LifeCycle Policy Server to persistently protect business critical documents in PDF, Microsoft Office, and CAD application formats independent of how they are stored or delivered inside and outside the firewall. Also in our Enterprise and Developer business, we announced the public data of the Adobe Flex 2.0 product line and Flash Player 8.5. Combined, they create the leading development solution for delivering rich Internet applications and we expect the final versions to ship in June. We often get asked about the relationship between Flex and Flash and AJAX. These are complementary technologies that can be used to enhance the user experience of the next generation of rich interactive applications. Flex plays an important role in helping to augment AJAX applications and overcome its limitations, especially as it relates to addressing browser issues and offline data access, audio-enriched video use, high-performance data exchange, and message-based public subscribe models. We recently released an Open Source Flex AJAX bridge, which makes it easy to integrate the two technologies and to bring Flex data services and offline data access to AJAX style applications. In addition to developers, industry analysts are starting to take notice. Gartner recently wrote “Adobe is positioning itself for the time when web developers run out of steam with AJAX.�? The net result of our efforts is that conversations with the developer community and customers are not AJAX versus Flash but rather how AJAX and Flash work together. Let’s turn to our Mobile and Device solutions business. Our key opportunity here is to provide solutions that create compelling experiences through rich content and application on mobile and non-PC devices leveraging a universal client that is available on each of these devices. At the beginning of the calendar year, we announced the availability of Macromedia Flash Lite 2 software. Flash Lite 2 is a major new release of the Flash Player for non-PC devices bringing rich user interfaces to mobile phones and consumer electronic devices worldwide. We also announced that leading consumer electronics device manufacturers including Kodak, Sony, iRiver, and Magic Box are adopting Flash technology to deliver customizable user interfaces, enhanced content, and superior browsing experiences to end-users. We also announced licensing agreements for Flash technology with LG Electronics and Ben-Q Mobile. In addition, NTT DoChoMo, the major carrier in Japan, stated that over a million subscribers are now paying for a FlashCast-based service. FlashCast is our server solution for providing specialized content to mobile devices. And finally, last week, Sony announced Flash will be available on the next generation of PlayStation devices including PSP and PS3, further advancing the reach of Adobe technologies to a whole new ecosystem of developers and consumers. This concludes my comments. Bruce…
Bruce Chizen, Chief Executive Officer: Thanks Shantanu. As we look at fiscal year ’06 and beyond we have the business strategy and talent in place to take advantage of the global market trends that will drive our growth. We are focused on our strategy to deliver an engagement platform and a variety of solutions that enable our customers to differentiate themselves in a world where the proliferation of content, media, and devices continues to accelerate. The future opportunities for Adobe are tremendous and we look forward to sharing our progress with you. Mike…
Mike Savage, Investor Relations: Thanks Bruce. Before we start Q&A, I would like to go over a few logistical items. We will provide a regular Q2 inter-quarter business update press release on Tuesday, May 2nd, after the market closes; again that’s Tuesday, May 2nd. We will post several documents on our investor relations web page related to our earnings report later today. This concludes today’s earning release, our updated investor data sheets, and the spreadsheet providing reconciliation for GAAP to non-GAAP financial data. For access to this and other investor-related data, you can go to our website at www.adobe.com/adbe. Our annual meeting of stockholders will be held next week on March 28th. Our annual report, proxy statements, and letter to stockholders were mailed several weeks ago to stockholders of record. These documents are also available on the investor relations page of adobe.com. For those who wish to listen to a playback of today’s conference call, a web-based read archive of the call will be available from the IR page on adobe.com later today. Alternatively, you can listen to a phone replay by calling 800-642-1687 with conference ID number is 6146834. Again, the phone number is 800-642-1687 with conference ID number 6146834. International callers should dial 706-645-9291. The phone playback service will be available beginning at 4 p.m. PST and ending at 4 p.m. PST on Monday, March 27, 2006. We’ll now be happy to take your questions. Operator…
Operator: And if anyone would like to ask a question, please “*�? and then “1�? on your telephone keypad, and we’ll pause for just a moment to compile the Q&A roster. Your first question comes from the line of Steve Ashley with Robert W. Baird.
Steve Ashley, Robert W. Bair: Hi guys. Murray, would it be possible for you to perhaps give us the year-over-year growth rates for the five business segments of which you had given the dollar revenue breakdown?
Murray Demo, Executive Vice President and Chief Financial Officer: Steve, we wanted to provide that information but when we got to looking at it and realizing that with Macromedia reporting on different fiscal quarters on Adobe it wasn’t really possible for us to be able to provide accurate information on a year-to-year basis. So, we’ll providing on a go-forward basis what’s the combined company is, but only providing a compare to Adobe standalone or sort of pre-acquisition in the compare year. What is encouraging, Steve, is that when we factor out the Macromedia revenue and we look at just the Adobe core revenue, that business grew double digits year over year, but even without Macromedia we saw healthy growth.
Steve Ashley, Robert W. Bair: Murray, what kind of impact did FX have on the topline and maybe on the mid-income line or bottomline?
Murray Demo, Executive Vice President and Chief Financial Officer: Well, in terms of revenue, it’s a touch tricky in the sense that we don’t essentially have the exact numbers for Macromedia for the base year a year ago. But if you think of it this way, if we could have had the same exchange rates, Euro-to-Dollar and Yen-to-Dollar this year that we had last year, our revenue would have been about $25 million higher this quarter.
Steve Ashley, Robert W. Bair: Right, and just lastly, Shantanu, can you comment on how maybe CS2 continues to perform versus how CS1 could perform with may be a similar stake in its life?
Shantanu Narayen, President and Chief Operating Officer: Steve, clearly CS2, if we take the same duration that CS2 has been out relative to CS1, we are very pleased with the performance of CS2. It continues to outpace what we saw with CS1, and if we look at this particular quarter when you faced the new bundles that we talked about and given the focus that we had on integration during the period before the close, we were able to actually again have a record revenue quarter for the Creative Suite Standard and Premium and the two new bundles that we introduced. So, we continue to be really pleased with the performance.
Steve Ashley, Robert W. Bair: Great thanks guys.
Operator: And your next question comes from the line of Thomas Ernst with Deutsche Bank.
Thomas Ernst, Deutsche Bank: Good afternoon and thank you. The question on where you are in the integration of the two companies in terms of overlapping functions and pulling costs out of the business, have you completed actions you expect at this point and when in the quarter did those actions take place?
Murray Demo, Executive Vice President and Chief Financial Officer: Tom, we’re quite pleased where we’re at this point. We’ve moved very swiftly through the quarter and we believe we’ve realized the cost savings at this point. The work is essentially done. Our focus right now is on hiring more people to help drive the great opportunities that we have on a go-forward basis. So, it’s behind us and we’re moving forwards. Yes, Thomas, I would comment overall the integration is going well, not only from an expense perspective, in fact if you look at the operating margin profits on a non-GAAP basis this quarter, probably a little bit higher than we originally anticipate because things are going so well, but not just about the finances and the systems, the strategy is set and complete, and as you probably know it has been communicated to both the financial community and to many, many or customers who are executing against the product roadmap that’s in place, and we saw the result of some of that even this quarter with the bundles as well as integration of Flash with new video products. The market plans are in place and we’re executing against our vertical solution strategy, and most of the transition employees who were helping us through this period are no longer with Adobe. So, just overall, I think things are going well for an acquisition of this size.
Thomas Ernst, Deutsche Bank: Good to hear. How much cost was pulled out of the business and how much of that could we feel this quarter? So in other words to say, did it come in the middle on average, what’s the full cost runrate as we look forward that was pulled out?
Murray Demo, Executive Vice President and Chief Financial Officer: I won’t put any specific numbers on the savings because a lot of it was that we made certain cuts but with the same idea that we’re going to take some of those savings and reinvest them in the business, probably we’re quite satisfied with the results we had this quarter, as Bruce mentioned, the 38.5% operating margin, we’ve provided a target for the second quarter of 37-38%. So, we continue to see excellent profitability but very focused on increasing our resources to focus on the opportunities that we have going forward. One thing we made sure of as we went through the planning process prior to integration we’ve fixated our priorities appropriately with a reduction in force in many years across the company, on projects that no longer made sense for us or projects that we want to spend resources on, to make sure that we could fully resource those projects that we’re most excited about. We are in the process of continuing to ramp head count against those projects, which is why our expenses will go up throughout the year.
Thomas Ernst, Deutsche Bank: One more followup to that, and then I’ll let others jump on. Certainly, the margin you delivered this quarter was impressive, I think it was better than anybody was looking for. I’m just a little surprised to see the margin guidance down next quarter given that I only expected you to get a partial benefit from the risk and some cost to take out. Is there anything looking forward here into the next quarter, is it a new expense or a one-time expense that’s included in your pro-forma number?
Murray Demo, Executive Vice President and Chief Financial Officer: No, it’s just a continued focus on hiring, bringing on more resources. Obviously, we had a little benefit during the holiday period in the Christmas’ time that we get some savings from employees going on vacation that we don’t get in the second quarter. So, it’s primarily focused on really the ramping resources, focused on the future opportunities that we have. And of course, as we get closer to the new product cycle on Acrobat 4 and as we start thinking about Q2 ’07, we’re going to want to ramp up marketing expenses.
Thomas Ernst, Deutsche Bank: Okay thank you.
Operator: And you next question comes from the line of Heather Bellini with UBS.
Heather Bellini, UBS: Hi, thank you and good afternoon. I was just wondering if you could share with us some color on two topics: First, there was a lot of concern in the quarter about what type of impact the MacTel transition would have on your revenues, and I was just wondering if you could give us your thoughts there, Bruce. And then secondly, I guess for Murray, if you could give us an idea of new segments for you guys, how we should think about seasonality of the biggest segments for the May quarter? Thank you.
Shantanu Narayen, President and Chief Operating Officer: I’ll take the one on the MacTel and what we’ve seen so far. We continue to see real strength in Macintosh business. If you really look at sort of the percentage of revenue that we’ve had in Mac, it actually grew at little bit quarter over quarter, so with the Creative Suite clearly driving the significant amount of revenue on the Mac platforms. We’re working on the transition for MacTel with our next generation of products, but so far we continue to see customers wanting to buy the Creative Suite, the Studio, and the Bundles, because of the features that we have in the product. We’ve always found that when the features are present in our products, people will buy the products.
Bruce Chizen, Chief Executive Officer: We have heard from some of our larger customers that their transition to new CPUs that are MacTel based will be a similar transition that they experience going from OS9 to OS10. They will get there but they won’t get there on Mac for a while and we think by the time they get there, we’ll be ready with our Creative Suite 3 products.
Heather Bellini, UBS: Great, and then, Murray, the question about the seasonality of the business segment in the May quarter?
Murray Demo, Executive Vice President and Chief Financial Officer: Yes, Heather, in terms of looking at Q2 I think the way to look at it is basically more of the same relative to Q1 and that the business should be relatively consistent across all of our business lines in the second quarter relative to the first quarter and if some of these products do better, then we’ll come in toward the high-end range. If some of them do a little bit of weaker, then we come into toward the low end of the range. In terms of some of the some seasonal factors, clearly we have the March year end budget flush in Japan as a seasonal factor in Q2, and that benefits the quarter, and then we tend to have our slowdown around the Easter holiday in Europe and US.
Heather Bellini, UBS: Great, thank you.
Operator: You next question comes from the line of Jaime Friedman with Soleil Securities.
Jamie Friedman, Soleil Securities Corporation: Hi, it’s Jamie Friedman at Soleil. Murray, you seem to increase the rate down in the acquired deferred revenue by $10 million, can you help us understand the linearity, like what quarter does that rate down occur in?
Murray Demo, Executive Vice President and Chief Financial Officer: Yes, Jamie, we lost $10 million more in revenue this year relative to purchase accounting and the way to look at that is ___ large number and look across all the quarter, it’s going to be essentially similar on each of the quarters and it could be slightly skewed toward the first quarter versus the fourth quarter where these maintenance programs roll off, but I’ll probably look at it more just kind of a pretty standard amount quarter to quarter.
Jamie Friedman, Soleil Securities Corporation: So, in other words, your guidance relative to street expectations may be haircut by a couple of $3 million related to that increase in the rate down?
Murray Demo, Executive Vice President and Chief Financial Officer: Are you referring to Q1 or Q2 here?
Jamie Friedman, Soleil Securities Corporation: I’m referring to the fiscal Q2.
Murray Demo, Executive Vice President and Chief Financial Officer: Well, essentially we’ve lost $10 million, so it’s going to come out of each of the quarter, so when you start sort of dividing that by four you start getting to some pretty small numbers. So, I guess in the absolute sense, it has a slight impact but it wouldn’t be a major driver in changing any kind of targets we’ve set for any of the quarters. The fact that we reaffirm the $2.7 billion, that includes the addition of $10 million of revenue that we’ll lose. So, we’re sticking with our guidance regardless of the additional $10 million of revenue loss from purchase accounting.
Jamie Friedman, Soleil Securities Corporation: Helpful thanks. Then, historically, and I guess you’re getting up on the way, you had this investor relations data sheet, and Shantanu actually eluded to this, but what was the platform mix, if you still have it, between Windows and Macintosh in the quarter to where they used to report it?
Bruce Chizen, Chief Executive Officer: We don’t have that data in front of us. It was a slight shift, I believe, to the Macintosh quarter over quarter, but in the scheme of things it was immaterial. I think it was just the fact that it was relatively the same or slightly up with a great indication to us that our Macintosh customer continues to buy the Creative Suite. One of the challenges we have going forward is that many of our products are now delivered in a cross-platform way, so that it becomes harder and harder for us to differentiate Mac SKU from a Window SKU and it’s one of the reasons why we’re not at least proactively providing the percentages. Obviously, if things change in a material way, we’ll share that with you, if it’s something that is a major, major difference from what we’ve experienced historically.
Murray Demo, Executive Vice President and Chief Financial Officer: And, Jamie and for everybody else, we will have that data sheet out here after a bit. Because of inadvertently putting the amortization of differed cost as line item on the income statement, we need to fold that back into each of the line items for R&D, sales, marketing, and G&A. Once we get that tweaked, we’ll put the investor relations data sheet up there, and that can be a revised just fixing that presentation on the income statement. There’ll be no change again to operating income, net income or EPS.
Jamie Friedman, Soleil Securities Corporation: Okay, great, that’s it from me. Thank you.
Operator: And your next question comes from the line of Jay Vleeschhouwer.
Jay Vleeschhouwer, Merrill Lynch: Thanks. Good afternoon. First, a couple of product and technology questions, as you pointed out, you’ve introduced the new bundles, the production bundle and design bundle, the question is how much further do you think you can or should take that segmentation or vertical approach to the business? Is that about as far as you can go in terms of fine tuning the bundles mix or might there be more that you could do, particularly given some of the references you’ve made to having a more vertical approach for Photoshop, and similarly could you further segment Acrobat as you’ve done with 3D with some followups?
Shantanu Narayen, President and Chief Operating Officer: Jay, with respect to the bundles, again as I said, the fact we were able to provide bundles on day one we thought was a really positive indication of how we’ve been able to integrate it, and we are seeing good strength in the Web Bundle. Specifically, with respect to Photoshop, clearly we continue to talk to our customers and we are hearing that Photoshop is being used for very specialized imaging applications and functionality such as being able to deal with medical imaging, being able to do measurement of images, etc. that the value add that we can provide is significant. At this point, we’re not talking about any new products, but directionally we are hearing that there is value added functionality specific to certain verticals where they believe they would want that product over the generic Photoshop product. With Acrobat, Acrobat 3D, we’ve been very pleased with the response that we’ve got from the press and the early customer adoption is also encouraging. Clearly, we continue to believe that Acrobat has more vertical uses and we will continue to explore other verticals used for Acrobat, but at this point our focus is really on continuing to make sure that our AEC strategy evolves successfully.
Jay Vleeschhouwer, Merrill Lynch: The next technical question is, the presumption is that the true — let’s call it a globalification of the products post merger — will occur with CS3 and the other standalone apps next year. However, in the meantime, is there something more that you could do, some interim integration that you can accomplish to bring the products a bit more together short of the full releases next year?
Shantanu Narayen, President and Chief Operating Officer: Clearly, I think we were able to demonstrate that with the Production Studio. We were able to provide Flash Export, which has been received very well. The other thing that we’ve been able to do pretty quickly, Jay, is to provide an emulator for mobile to make sure that as people are creating more content for mobile devices that you can actually emulate this within Flash, for example, which prevents people from having to test explicitly on hundreds of phone devices. So, I think we’ve demonstrated already that we can provide really quick integration. Our focus right now really is on providing great new CS3 applications, both best of breed applications and truly integrating the products, and as you know we also have to deal with both the Vista as well as the MacTel transition. So, that really is our focus right now as a company.
Jay Vleeschhouwer, Merrill Lynch: So Murray, setting aside the deferred revenue issue for the Flash Lite business, can you update us on what the number of shipping Flash products and units to date has been…Macromedia used to disclose those kinds of numbers each quarter?
Murray Demo, Executive Vice President and Chief Financial Officer: Jay, at this point, we’re not planning on providing that information, so we have nothing to report at this time.
Jay Vleeschhouwer, Merrill Lynch: All right and then finally, since you called out Japan seasonality, are you seeing strength in both the corporate and consumer sides of the business in Japan?
Murray Demo, Executive Vice President and Chief Financial Officer: Well, I can just speak to what we saw in February, and we saw strong demand as you would expect in February; it’s the second strongest month of the year in Japan as we move towards March being the strongest, and through February we saw strength across the board.
Jay Vleeschhouwer, Merrill Lynch: Thank you very much.
Operator: Your next question comes from the line of Brett Bill with Citigroup.
Bret Bill, Citigroup: Thanks. Volume licensing has been trending up over the last couple of years. I guess the analysis that mentioned is closer to 40%, does Macromedia now change any dynamic of that trend line?
Murray Demo, Executive Vice President and Chief Financial Officer: It really doesn’t. I mean, essentially we sell through the same channels and our customers tend to buy in very similar ways, and so the overall mix between shrink-wrap and licensing was very similar between the two companies and doesn’t have a material impact on the joint company going forward, but very similar.
Bret Bill, Citigroup: Okay. Murray, there was an article today in the Mercury about the potential for a fourth tower in San Jose. If that happens, is that embedded in the cost structure that you’ve given us today?
Murray Demo, Executive Vice President and Chief Financial Officer: Well, we can’t really comment on rumors that are out there but when we do provide targets, we do include everything that we know at the time into those targets to make sure that we are providing what we believe is the appropriate and to the best of our knowledge accurate targets at that time.
Bret Bill, Citigroup: Okay and just two quick metrics; the DSO and inventory trended up this quarter, what should we expect for both of those going into the Q2?
Murray Demo, Executive Vice President and Chief Financial Officer: Well, a couple of things, first of all on the DSO this quarter. As you know, when the companies came together, we assumed some receivables that were on the Macromedia balance sheet where they had already recognized revenue, and if look at it the DSO was 39 days this quarter. If you factor out some of that, it will probably be closer to 36 days this quarter. So, it tended to inflate the DSO from what the underlying business is running, again because of the acquired receivables. In terms of the inventory, the Q1 2006 levels are really back in line where they were in 2005 other than in the fourth quarter. In the fourth quarter, we implemented some distributor margin decreases based on some efforts we put in place that standardized the margins across of a number of our products and geographies, and seeing that coming they ended up wanting to buy more products and ship more products. And so what we did was, because we knew this was happening and it wasn’t really a major change in underlying demands from an end-user standpoint is that we held the inventory levels down some in the fourth quarter because of this sort of unique situation. And so all we’ve done now in Q1 is just bring it back to the sort of appropriate healthy level that we saw through much of 2005.
Bret Bill, Citigroup: Thanks.
Operator: And your next question comes from the line of Sterling Auty with JP Morgan.
Sterling Auty, JP Morgan: Thanks. Murray, just following up on that in terms of the inventory, is there any kind of geographic trend to that, meaning was that pattern seen more in North America or Europe?
Murray Demo, Executive Vice President and Chief Financial Officer: No, not really. It was pretty much consistent across the board because we were looking to make some margin changes, like I said, across products and market areas. So, what we’ve done now is we’re still within company policy, we’re right where we want to be in terms of a healthy level of inventory to be able to run our business efficiently as we enter the second quarter, so nothing really from a geographic perspective.
Sterling Auty, JP Morgan: Then, can you comment a little bit on the share repurchase, you mentioned the 9.6 million shares bought in the quarter, what’s your thought on kind of completing the billion dollar buyback that you talked about with the Macromedia acquisition — over what kind of timeframe?
Murray Demo, Executive Vice President and Chief Financial Officer: Sterling, in terms of the repurchase, we had said that we were going to go after a billion dollars worth of stock repurchase in the 12 months following the close of the acquisition. We’ve now through the first quarter done $200 million of that $1 billion and we also did $155 million under our normal stock repurchase program. So that’s what sort of made up the $355 million; so $800 million to go Q2 and beyond over the next nine months.
Sterling Auty, JP Morgan: And how does some of the financial transactions that you entered in for share repurchase, how does that kind of play itself out?
Murray Demo, Executive Vice President and Chief Financial Officer: Well, we’ve tended to go into some structured repurchase agreements where we’re looking at something relative to ___ and kind of looking at it that way we’re buying over the course of time, we can set different schedules on those and also have the availability to resume open market purchases. So, we’ll use a mix where we think it makes more sense over the remaining period of time here.
Bruce Chizen, Chief Executive Officer: I think just to help clarify the $200 million that Murray is taking about were actual shares purchased. This does not include any potential commitments that we might have going forward.
Sterling Auty, JP Morgan: Okay, and then last question, you updated the full year guidance on the revenue but didn’t make any mention to EPS or kind of the share repurchase leads, and so I don’t know, given the pace of share repurchase, if that has any impact on full year guidance or is there any way that you would update us for full year EPS guidance stock?
Murray Demo, Executive Vice President and Chief Financial Officer: The main reason why we reaffirmed the revenue today is we really want to talk about the third and the fourth quarters. We’ve now said for sometime that the third quarters are seasonally weak quarters and are going to be the lowest revenue quarters of the year. And look at a number of estimates out there that does not seem to be the case for many out there. We wanted to speak to that again, but the third quarter is going to be the lowest revenue quarter of the year, because it’s seasonal weakness that we see in the summertime in Europe and Japan. And the fourth quarter now we’re going to see a seasonal pickup in Europe like we would typically expect, and we have the launch of Acrobat in the fourth quarter. So, it’s going to be the highest revenue quarter of the year, and so we wanted to communicate that again about Q3 and Q4. It was appropriate to also talk about the full year revenue target, which we’re doing today, and at this point we’re not going to talk about earnings per share or margins we’ve provided, Q2 guidance, and we’ll probably continue to look at it doing it on a quarterly basis.
Bruce Chizen, Chief Executive Officer: We also believe that given the great results that we had in Q1 and the guidance on the margin and EPS side for Q2 that I believe most people probably feel comfortable with us and where we are regarding annual EPS.
Sterling Auty, JP Morgan: Okay, thanks guys.
Operator: And your next question comes from the line of Larry Solomon with Capital Guardian.
Larry Solomon, Capital Guardian: Just a couple of clarifications. When you reported the non-GAAP number this quarter, does that include any benefit from the deferred revenues that Macromedia had, or did those just go away and then next year you picked them back up? That’s a clarification and I have another question.
Murray Demo, Executive Vice President and Chief Financial Officer: Yeah Larry, we’re not trying to estimate how much revenue we lost after the non-GAAP performance. I mean the revenue is the revenue that we’ve got and the revenue will come back in 2007.
Larry Solomon, Capital Guardian: Okay, do some companies estimate that and add it back. Secondly, the guidance if you look at the midpoint revenue and operating margin, it is for flat revenue sequentially but 1% lower operating margin. You talked about how you’re going to spend more, but going to Thomas’ question, it seems like you probably would not have gotten the full quarter of expense savings last quarter. So, what are you spending in this quarter we’re in right now and to what extent might that be offset by a full quarter benefit from expense savings? That’s the question.
Murray Demo, Executive Vice President and Chief Financial Officer: Again, a couple of things; one is that we will continue to hire, and obviously we’ve hired during the current first quarter as well and we’ve not had the full impact of that expense on a quarterly basis, so that will obviously increase some of the expenses. In the second quarter, we’ll look to add more employees in the second quarter and we will not having the savings that we get from the vacation savings that occurred during the year end holiday period, and so those things will be driving the expenses higher in the second quarter. Also, we’ve gotten though the integration period and we’re very focussed on our greater market activities throughout the quarter from a marketing standpoint, etc. So, it is very important for us to continue to increase our resources given the opportunities we have and the big year that we’ve got coming in front us in ‘07.
Larry Solomon, Capital Guardian: And then finally, it sounds like you did not reiterate the $26 to $39 GAAP guidance that you provided earlier. Bruce, are you basically saying that you’re still comfortable with that and that is still the guidance, you’re just putting it in writing each time.
Bruce Chizen, Chief Executive Officer: Larry, we don’t want to reaffirm anything else other than the revenue. We don’t typically every quarter comment on the fiscal number on the annual number for the year. We typically do quarter at a time. This quarter was important for us to comment on the revenue because we wanted to get clarification particularly on Q3 and then subsequently Q4, and we looked at some of the estimates out there as it related to Q3 and Q4, and it was concerning especially given the fact that at the analyst meeting we did communicate that Q3 was going to be the weakest quarter of the year, yet many chose not to listen to us. So, we thought it was important to restate it again. In doing so, we want to make sure everybody understood we were not restating or changing the original revenue number. We didn’t want to go through all the details we got in the rest of the P&L. Clearly, the EPS that we delivered this quarter, what we’re guiding towards in Q2 should give everybody comfort in what we can deliver for the fiscal year.
Larry Solomon, Capital Guardian: Okay, thank you.
Operator: And you next question comes from the line of Sasa Zorovic with Oppenheimer.
A. Sasa Zorovic, Oppenheimer: Thank you. My first question would be, Murray, as you’re looking for basically a person to come in the team and sort of replace you at the moment. Could you provide us with an update there as to how that is progressing.
Bruce Chizen, Chief Executive Officer: Yeah, since Murray will be leaving and I’ll be the one with working with Shantanu on hiring, I’ll take that one. So, we are continuing searching for the position. It’s a critical position for us. We want to make sure we have the right candidate in place, a number of candidates that we’re speaking, don’t have a specific date, but I am thrilled and thankful that Murray has agreed to stay with Adobe through the close and the earnings call of Q2. So, for those of you who have thought you’ve gotten rid of Murray, he will be here at least that one more time, and hopefully by the time Murray leaves we will have somebody that will be able to replace him.
A. Sasa Zorovic, Oppenheimer: Great and my second question is to Murray, sort of on a segment basis, any sort of geographical trend that would be notable. You did mention a cross-product line, sort of similar geographically, is there any particular differences in Europe versus Japan versus domestic from one versus another?
Murray Demo, Executive Vice President and Chief Financial Officer: On a go-forward basis, again the key seasonal highlights are Japan in March, we’ve got Easter slowdown in Europe and US, and then of course as we get into the summertime we fully expect to see a big slowdown in Europe and Japan, that’s the whole point about the third quarter being the lowest of the year. When we get to the fourth quarter, Europe we expect, like it has every year, will rebound in the fourth quarter. Japan tends to stay relatively flat Q3 to Q4, though we would expect to see that pick up in Q4 in Europe and we also tend to see stronger retail performance in the United States in the fourth quarter. So, those would be the key seasonal aspects and it wouldn’t necessarily change for one set of products versus another.
A. Sasa Zorovic, Oppenheimer: Okay, thank you.
Murray Demo, Executive Vice President and Chief Financial Officer: Operator, we’ll take one more question please.
Operator: And your next question comes from Mark McKegney with Twin Peaks Capital. And Mr. McKegney, your line is open…and there seems to be no response from Mr. McKegney’s line.
Murray Demo, Executive Vice President and Chief Financial Officer: All right, that concludes our call today and we thank everybody for joining us.
Operator: And that concludes today’s conference call, you may now disconnect.
Want to understand the future of human resources software?:
Cornerstone OnDemand is the leading provider of SaaS solutions for integrated talent management, covering the human capital life cycle from hire to retire. :
We offer over 30,000 online training titles and performance tools for compliance and analytics to help companies maximize workforce productivity and achieve organizational excellence. :
Learn about talent management and our industry leading products for learning management, corporate social networking, onboarding, compensation, compliance, employee performance management and succession planning at CornerstoneOndemand.com.:
To sponsor a Seeking Alpha transcript click here.: